Operator: Hello, and welcome to the MP Materials Second Quarter 2025 Earnings Call. [Operator Instructions] Also, as a reminder, this conference is being recorded. If you have any objections, please disconnect at this time. With that, I would like to turn the call over to Martin Sheehan, Head of Investor Relations. Mr. Sheehan, you may begin.
Martin Sheehan: Thank you, operator, and good afternoon, everyone. Welcome to the MP Materials Second Quarter 2025 Earnings Conference Call. With me today from MP Materials are Jim Litinsky, Founder, Chairman and Chief Executive Officer; Michael Rosenthal, Founder and Chief Operating Officer; and Ryan Corbett, Chief Financial Officer. As a reminder, today's discussion will contain forward-looking statements relating to future events and expectations that are subject to various assumptions and caveats. Factors that may cause the company's actual results to differ materially from these statements are included in today's presentation, earnings release and in our SEC filings. In addition, we have included some non-GAAP financial measures in this presentation. Reconciliations to the most directly comparable GAAP financial measures can be found in today's earnings release and the appendix of today's slide presentation. Any reference in our discussion today to EBITDA means adjusted EBITDA and tons means metric tons. Finally, the earnings release and slide presentation are available on our website. With that, I'll turn the call over to Jim. Jim?
James Henry Litinsky: Thank you, Martin, and good afternoon, everyone. When we gathered on the first quarter call in May, I said we had reached an inflection point. The rare earth supply chain long built on a single point of failure had cracked. I said that Humpty-Dumpty was not getting put back together again and that this moment would be transformational and remembered. Today, it is clear that what has emerged in its place is something fundamentally new and MP is squarely at the center of it. The strategic partnerships we announced with the Department of Defense and Apple building on our foundational relationship with General Motors have fundamentally transformed MP. These agreements validate the mission we have pursued since day 1 and mark a new chapter, not only for our company but for the country. This is a moment of strength for all our stakeholders, our shareholders, our customers, our employees and the United States of America. And with the nonmarket externalities that were once outside of our control now largely addressed, our focus is firmly on execution. Let me briefly walk through the DoD and Apple agreements, and then I will turn to some operational highlights from the second quarter, beginning on Slide 4. I will not rehash every detail of the DoD agreement. You can find our July webcast on our website and YouTube, and the agreements are filed with the SEC. But I want to emphasize that we view this partnership as a win-win-win. A win for MP shareholders, a win for U.S. commercial and national security interests and a win for taxpayers. The DoD partnership rests on 3 pillars. First, DoD made a transformational investment in MP consisting of $400 million in convertible preferred equity along with a $150 million low interest loan to fund the build-out and expansion of our heavy rare earth separation circuit. The DoD also received a warrant which when exercised and combined with the preferred equity post conversion, we make them our largest shareholder, positioned to benefit from the upside they helped enable through an incredibly well-structured partnership. Second, a $110 per kilogram price floor for all products containing NdPr. This mechanism counters nonmarket forces that have historically suppressed the development of a secure domestic supply chain. It ensures our shareholders earn a fair return on our past investments as well as the significant investments we will make to scale this mission and bring the supply chain home for good. Included in this commitment is some upside sharing with DoD if as we suspect to occur over time, prices go materially above $110. Third, we are accelerating the build-out of independents and constructing a new 10X facility, which together will expand our U.S. magnet manufacturing capacity from 1,000 to 10,000 metric tons annually. Given the work speed nature of the build-out and the mission we have been tasked with, the DoD has committed to purchase 100% of the output from the new facility on a cost-plus basis including a $140 million minimum EBITDA guarantee. We expect to syndicate a large portion of this output to commercial customers at improved economics creating meaningful upside potential, some of which we will share with DoD. On the heels of the DoD announcement, we signed a land agreement with Apple. While the timing may make these 2 agreements appear related, that was really a coincidence. This partnership is the result of 5 years of quiet technical collaboration with Apple and reflects our methodical approach to building win-win customer relationships. Apple is one of the world's most sophisticated supply chain managers and one of the largest and most experienced users of rare earth magnets, making it an ideal customer and a powerful validation of MP's capabilities. Apple embodies everything we hoped for in a flagship commercial partner to follow GM. They will be the foundational customer for our commercial recycling business, anchored by the construction of a dedicated recycling circuit at Mountain Pass and the expansion of Independence. This long-term contract will result in over $500 million in contracted magnet purchases beginning in 2027. We expect the economics to reflect attractive returns on our capital and significant commitments to this partnership. Apple will also provide $200 million in milestone-based prepayments over the coming years, supporting the build-out of both the recycling circuit and Independence. Importantly, Apple will leverage its global supply chain to provide post-consumer and post-industrial magnet feedstock. This significantly accelerates MP's entry into recycling at scale with substantial potential upside. Recycled feedstock should reduce unit production costs and over time, the ability to recover more material at Mountain Pass could expand our production profile beyond current targets. I want to recognize the extraordinary efforts of our team whose execution over the past several years has earned us the right to enter into these transformative partnerships. I also want to acknowledge General Motors whose early commitment to our mission helped catalyze this moment. Turning to operations. Our Materials and Magnetic segments continued to deliver strong execution. In our Materials segment, we achieved 6% sequential growth in NdPr oxide production despite a planned biannual plant shutdown in April. This result was consistent with our expectations and more than double last year's output. Our upstream operations also delivered the second highest quarterly REO production in the history of Mountain Pass with record recoveries driven by ongoing optimization work. In our Magnetic segment, we expanded both NdPr metal production and sales volumes, which led to significant revenue growth and EBITDA generation. At Independence, we are now consistently producing magnets that meet our customers demanding specifications for EV traction motors, a critical milestone. The next step is transferring this capability from trial production to scale production. Commissioning at the factory is accelerating, momentum is building as we progress toward commercial magnet production later this year. Michael will provide a detailed operational update in a few minutes after Ryan covers our second quarter results. Ryan?
Ryan S. Corbett: Thanks, Jim. Turning to Slide 5 and our consolidated results. Second quarter revenue increased 84% compared to last year, driven by the ramp-up in sales of magnet precursor products as well as the record production of NdPr oxide at Mountain Pass. The sequential comparison was impacted by our strategic decision to end sales of concentrate to external customers in the quarter. With the new DoD agreement, I would point out that for the foreseeable future, we will no longer sell concentrate to third parties but stockpile any excess production until we further ramp NdPr oxide output from our midstream assets. Importantly, beginning in Q4, we will begin benefiting from the DoD price floor agreement, with first cash payments likely to be received in Q1. I would also add that we continue to work through all of the accounting mechanics of the various features of the DoD contract. For example, how the top-up payments for stockpiled products will be recognized. We will call out the major conclusions in our Q3 or Q4 call. Moving to the middle of the slide, you'll see adjusted EBITDA also improved year-over-year, driven by the higher sales of Magnet precursor products as well as continued improvements in per unit NdPr oxide production costs, including $8.3 million in lower reserves on work in process and finished good inventories at Mountain Pass, which at this point is mainly related to early production of lanthanum products. Sequentially, adjusted EBITDA declined primarily due to the lower sales of REO in concentrate. And moving to the far right, adjusted diluted EPS improved compared to the second quarter of last year, mainly due to the improved adjusted EBITDA, partially offset by lower interest income and income tax benefit as well as higher depreciation, depletion and amortization compared to last year. Moving to Slide 6 and the Materials segment KPIs and starting on the left with the Upstream. You can see the world-class performance by the Mountain Pass team as we produced 13,145 metric tons of REO in the quarter, 45% above last year. Recall, last year, we had unplanned downtime that interrupted production for roughly 3 weeks. This quarter's 13,000-plus metric tons was our second best quarterly volume ever, which is even more impressive given the 2-week planned maintenance shutdown we took at the beginning of the quarter. You can see the impact of our decision to hold sales of concentrate in the middle left of the slide, with the realized pricing on the product we did sell remaining in the mid 4000s, which included the impact of a 10% tariff applied during the quarter on our final Chinese sales. Moving to the Midstream on the right side of the slide, we had a modest increase in sequential production of NdPr oxide, approximately 6% to 597 metric tons, in line with our discussion last quarter, with material improvements in throughput offset in the reported metrics by the planned downtime from our maintenance turnaround at the beginning of April. Importantly, we set a monthly record for production in May, followed by another record in June. As we stated, we were generally at about the 50% mark of our targeted total throughput in May and June. Michael will provide more insights on our refining progress shortly, including his thoughts on targeted production for Q3. In the middle right, you can see NdPr sales volumes continue to be strong year-over-year, up 226%, generally following the ramp in production. Timing of shipments is always a factor in our results, particularly as a significant amount of our production continues to go through Southeast Asia, to be tolled into metal before being sold to our end customers. These volumes remain on our balance sheet and are not recognized as revenue until passed along to the final customer. We continue to expect sales volumes to follow production on roughly a 1 quarter lag with some amount of lumpiness seen this quarter as we continue to rapidly fill the tolling channel with growing oxide production. Moving to the far right of the slide, you can see that the market price for NdPr did experience solid lift both sequentially, up about 10% and year-over-year up roughly 19%, slightly better than our expectations in early May. Flipping to Slide 7 and our segment financials. On the left, you can see our Materials segment revenues increase nearly 20% year- over-year due to the strong NdPr sales volume growth, combined with the improved pricing environment. The sequential decline was solely due to the reduced sales volumes of concentrate compared to Q1. Segment adjusted EBITDA also improved, as mentioned earlier, due to the improving per unit costs of NdPr production as well as the lower inventory reserves as well as last year's higher maintenance costs from the thickener repairs. Sequential results similar to revenues were driven by the decline in concentrate sales. Moving to the right in our Magnetic segment. The team at Independence ramped production nicely, thanks to completing the commissioning of our second electrolysis cell though not without the usual growing pains. And while we continue to work at improving all aspects of the metalization process, our team has done a terrific job bringing these assets online and working through the inevitable start-up challenges. The growth in production led to strong sequential increases in revenue as well as adjusted EBITDA. In closing, the last month has been truly transformational for the company, reinforcing our role as a national champion with scale, durability and economic firepower to lead this reindustrialization effort in the United States. Following the Department of Defense and Apple agreements, we have a clear pathway to continued shareholder value creation as we transform the business into the vertically integrated magnetic solution provider that we have been building towards since day 1. With the investment in convertible preferred stock and the recent funding of the heavy rare earth loan by the DoD as well as our recent equity offering today, we have nearly $2 billion of cash on the balance sheet to execute on our plan. This is before $200 million of prepayments we expect from Apple as we hit certain milestones on our path to expanding Independence and building out our leading recycling platform at Mountain Pass. Regarding CapEx, our year-to-date investment has been $47.3 million, which includes the impact of $12.2 million of reimbursement from the Department of Defense from our earlier heavy rare earth-related grant. We continue expect to spend between $150 million and $175 million in 2025, unchanged from the beginning of the year, assuming we are executing on the same project pipeline announced at that time, which included the completion of Independence to its initial 1,000 ton capacity, continued progress on heavy rare earth separation and other investments, including chlor alkali at Mountain Pass. Following the agreements with DoD and Apple, we are in detailed planning on the time lines for our further capital investments, including the expansion of our heavy separation circuits to accommodate samarium separation, the expansion of independence, the construction of dedicated recycling capabilities at Mountain Pass and the development and construction of the 10X Facility. As you can appreciate, we have spent significant time in resources planning for these projects but as we have only just recently agreed to the specifics with our 2 new stakeholders, we will provide relevant updates on timing and budgets as we progress in our engagement with them. But to provide some high-level guidance, I would note that we expect the prepayments from Apple to cover the vast majority of the capital investments required to expand Independence and to build out our scaled recycling capabilities. Further, we expect the heavy rare earth loan, DoD's preferred investment and our recent capital raise, combined with our remaining financing commitment to fund the projects we will undertake as part of our partnership with DoD. We believe we are extremely well positioned with a fortress balance sheet and will remain opportunistic as ever in balancing risk and reward to deliver durable shareholder value over the long term. With that, let me turn it over to Michael to go through our operations. Michael?
Michael Stuart Rosenthal: Thanks, Ryan. Moving to operations. We are seeing excellent progress across our upstream, midstream and downstream operations. This quarter demonstrates our improving execution capability and the momentum building across the business. We had an outstanding quarter in our upstream operation, which benefited from extremely high uptime, record high recovery and optimization work that is now bearing fruit. As previously mentioned, we have been increasingly focused on improving concentrate quality rather than simply maximizing volume. And our teams responded by delivering our highest ever concentrate grade this quarter. We believe this is contributing to improved performance in the midstream circuits. While I would caution against annualizing this quarter's concentrate numbers, the results clearly demonstrate our ability to optimize our process and the tremendous long-term potential of the Mountain Pass resource. Progress in the midstream circuits continue to pace. We reported a 6% sequential increase in NdPr oxide production in line with expectations. But that figure alone does not fully capture the underlying progress. There are meaningful operational improvements occurring across many midstream circuits, particularly in purification, separation and our brine treatment areas. These improvements help to unlock greater throughput and reliability even as we work through some lingering first quarter challenges in leach and purification. The positive trajectory is clear and we are encouraged by the foundational progress being made. Product finishing also improved during the quarter. Although short stints of unplanned downtime impacted operating costs, and, to a lesser extent, production volumes. In late July, we implemented several upgrades that have immediately improved operability. These upgrades should also meaningfully enhance throughput capability and reduce operating and maintenance burden starting later this quarter. Looking ahead, executing our midstream production ramp remains our top priority. We are steadily increasing throughput while maintaining consistently strong quality. Most areas are now demonstrating higher uptime and higher throughputs. Our separation circuits are performing quite well and are outpacing the rest of the process. This gives us confidence in our ability to steadily increase production while focusing on the most impactful opportunity areas to achieve our near-term target of a 6,000 ton per annum NdPr oxide run rate. At Independence, our teams continue to gain valuable experience in metal reduction furnace operations. We can now say with growing conviction that we understand the conditions required to consistently produce world-class quality NdPr metal. Commissioning activities beyond metalization expanded rapidly in the second quarter to include strip casting, powder production, pressing and centering with site acceptance testing for parts of machining also underway. The team has done an outstanding job staying on schedule to commence commercial production by year-end. While we know that there will be tremendous challenges in starting commercial production our production plans and customer commitments are grounded in realistic assumptions, and the factory and team are coming together impressively. As part of our Department of Defense and Apple agreements, we have committed to completing several projects across the Mountain Pass operations. Jim has addressed most of the key details, but I will add a brief update on heavy rare earth separation. Preconstruction work within legacy buildings has accelerated. All key separation equipment is on site and procurement of other major equipment is nearly complete. We expect to begin major equipment installation by the fourth quarter. We remain confident that our terbium and dysprosium production schedule aligns with the needs of Independence as it ramps up commercial magnet production, and our vertically integrated platform provides unique flexibility regarding the type of and purity of feedstocks that we can accept. And this will give us the opportunity to secure additional feedstocks. I will continue to provide updates on this and other projects in the coming quarters. In terms of production outlook, we expect to achieve a 10% to 20% sequential increase in NdPr oxide production and stronger product sell-through in the third quarter despite taking some extra time to implement the upgrades to product finishing I mentioned earlier. Relative to last year's very strong third quarter results, concentrate production will likely be down slightly year-over-year as we execute a full planned trial of a potential pre-flotation process. This trial may modestly impact near-term recovery but is designed to drive long-term improvement in midstream performance. With that, I will turn the call back to Jim.
James Henry Litinsky: Thanks, Michael. As I close today's prepared remarks, I want to take a moment to reflect on the MP journey. Many of you know the history, but we introduced MP to the public markets in July 2020, almost exactly 5 years ago. At the time, MP was a rare earth concentrate business with a bold and important vision to restore the full rare earth supply chain to the United States of America. We laid out a road map, first to build refining capacity and eventually, one day to enter the magnetics business. We were clear eyed about the scale of the challenge. In fact, we told investors back then that magnets were a 2025 plus opportunity, a long-term ambition that would take time, capital and conviction. Well, it is now 2025, and here we are. Through years of relentless execution, this team has transformed a bankrupted and abandoned mine site into a vertically integrated American National Champion with a strategic and economic platform that matters. Not only for national security, but for the most promising business of our time, the rise of physical AI. There have been ups and downs along the way. And yes, plenty of skeptics, critics and naysayers. But if you ignore the noise and stayed with us from the beginning, you have compounded at over 43% annually. It was not a straight line and the path has been quite unconventional to say the least, but here we are. Now as we look ahead to the next 5 years, I see a familiar set up, a bold vision, a clear strategy and obsessive focus on execution and a platform with the potential to evolve far beyond what most can imagine today. Back in 2020, if you could have foreseen just how far MP would come, today, I believe we are once again at the beginning of something extraordinary. We have the platform, the partners and the perspective to seize another enormous runway of opportunity. And it does not hurt that we have a front row seat and an important role in what may well become the most significant business transformation of our generation, the era of physical AI. None of this would be possible without the extraordinary people of MP. Our team on the ground, in the plants and across the company. Their dedication, talent and belief in our mission are what turned vision into reality. To all of you, thank you. We are just getting started. With that, let's open it up for questions. Operator?
Operator: [Operator Instructions] Our first question comes from George Gianarikas from Canaccord Genuity.
George Gianarikas: So I just had a question about magnetics margins, which were pretty impressive this quarter. Can you just help us understand if the broad strokes of what you just reported in that segment could be used to sort of think about the magnetics margins when you build 10,000 tons in the future?
Ryan S. Corbett: George, it's Ryan. Obviously, with the state of maturity of the magnetics business at this point, we're obviously very pleased and impressed with the result. I think at this time, given we're in the stage of producing magnetic precursor products and delivering those to our foundational customer, it's not necessarily a perfect proxy for how the revenue and cost structure will look once we are in full production of finished magnets. However, I think that this level of earnings is something that likely can be expected for the next several quarters until we're in production with magnets. And then once that is ramped, certainly, we expect a nice step change up as we begin delivering magnets from a total EBITDA perspective. We won't get into specific details on margin and cost structure, particularly given the chunky nature of our existing customer relationships. And certainly, when you think about 10X, there's a wide variety of product types and customer contract types that we expect within that facility. I think the great thing, of course about our contract with the Department of Defense is we do have the guaranteed minimum earnings level. And then certainly, if you extrapolate what you see at Independence to the 10X Facility from an overall pricing perspective, I think that paints some pretty significant upside to the potential earnings power of 10X versus that minimum level.
George Gianarikas: And just as a follow-up, different question. But first, congratulations on all the incredible deals you've been able to put together over the last month. But along with that, got a lot of work to do over the next few years. How comfortable do you feel with building out the ecosystem required, getting the equipment in place, hiring the right people, all the grind work that you have to do to build out the additional facilities in time to kind of hit the contract time lines that you articulated to us?
James Henry Litinsky: Thanks, George. We are hiring, so send us your resumes. I mean, obviously, we have a lot of execution to do. And I think we've been an execution culture since day 1. So we certainly understand the scale of the challenge that's ahead of us, and we're confident that we'll get it done. These things are never perfectly in a straight line. But we are already maniacally at work at the various pieces that we have to put together, and we've been planning for this for quite some time. But Michael, do you want to add a little bit from your perspective?
Michael Stuart Rosenthal: Yes. Thanks, Jim. On top of that, we have a core team with experience, having built similar assets over the last several years. And of course, now we're growing the team, as Jim referenced. And we think we can scale that ability over the next several months and year to help us execute better. In addition, we've built vendor relationships. We have engineering drawings. We have plans. We have a lot more data than we did several years ago. So our ability to execute these projects now versus where we were 2 years ago has significantly improved. On top of that, we have a DPAS, DX rating to help us engage with vendors and service providers to help accelerate progress there. So we're very confident we can meet both the DoD's aggressive schedule as well as the complementary and projects at Mountain Pass and for Apple.
Operator: Our next question comes from Benjamin Kallo with Baird.
Benjamin Joseph Kallo: First, could you talk to us about the separation of facilities, capacity or your thoughts around increasing capacity. From what I understand, there's no ceiling on how much concentrate you process. So could you be a processor for third parties? And just maybe any kind of color around that?
Michael Stuart Rosenthal: Thanks, Ben. I guess I wish it was the case that there's no ceiling, but I think there is some ceiling. But I think importantly, we have a lot of flexibility because we have a fully vertically integrated site. We have flexibility as to what kinds of feedstocks we can process and what kinds of impurities we can handle, which I think is unique versus most sort of separation facilities that may be standalone that don't have that ability. So that will be very helpful as we look at more heavy rich feedstocks to add as a complement to our concentrate business. So we expect our existing concentrate business to ramp up to the 6,000 tons per annum of NdPr oxide that we've talked about and then hope to build, particularly in regards to heavies, the additional separation for those heavy rare earths.
Benjamin Joseph Kallo: And my follow-up is just on signing new magnet agreements for 10X. How do you guys think about just the cadence of both you and your customers wanting to enter a deal? But do you want your customers wanted to be more derisked and the facility be closer to completion? Or are they clamoring to the sign a deal now? And how do you guys approach that?
James Henry Litinsky: Ben, am I already getting the "what have you done for me lately" question?
Benjamin Joseph Kallo: I was going to go much bigger than that, but I thought I'd hold off until next quarter.
James Henry Litinsky: I mean, obviously, we're still having a ton of conversations and so that continues. But I'd just remind you that 10X is 100% sold out. And so we have -- what really our entire magnetics business for the next decade is 100% sold out. Obviously, we're going to syndicate commercially the vast majority of 10X. But I think we have the ability to be very thoughtful about how we do that. And I think, hopefully, we have a good track record at this point in being patient and methodical and selecting the right sequencing of customers and making sure that we do so in a way that is frankly attractive for our business but also create win-win partnerships for us and the customer. And I think our expectation is we'll continue to do that as we build out 10X.
Operator: Our next question comes from Lawson Winder with Bank of America.
Lawson Winder: Congratulations on everything you've achieved over the last quarter. Also wanted to ask about the assumptions around the $650 million minimum guidance for materials plus 10X magnets plus independence magnets. What does that include in terms of assumption around oxide sales to third parties? And is there an assumption baked in there that some oxides will be sold to China?
Ryan S. Corbett: Lawson, it's Ryan. Sure. I'll take that. We are under the DoD agreements no longer selling any of our products into the Chinese market. So it does not assume any oxide sales into the Chinese market. I would say though, if you do the math, depending on the type of magnet that you're talking about, certainly, bringing our total capacity to a finished magnet equivalent of 10,000 tons, that does leave room for external sales. And so I think the good thing about these agreements is the way the price protection works is that's really a payment stream directly into the material side of the business. That makes us, in many ways, indifferent between selling to a third party or selling internally, where the Magnet business will maintain the market-based approach to pricing based on market levels of oxide pricing. And so the overall assumption there is that we get to our targeted throughput and cost structure for the Materials segment from a separated product perspective, but just at that 6,000 tons, it does not embed upside from recycling or upside from further products including NdPr products that could come from heavy rich feedstocks. And so that's the big portion of the material side of that assumption. And then on the magnetic side, that $650 million just assumes the minimum contracted EBITDA from the Department of Defense for the 10X facility, which, as I laid out, I think, has some very significant upside, some of which, of course, we share with our partner in DoD as that facility scales into producing for commercial customers as well. And it assumes relatively conservative assumptions as to our build-out and ramp of independence. And so in the slide deck that we provided in the prior conference call, you can sort of see the relative sizes of all of those pieces, but that's the underlying overall set of assumptions.
Lawson Winder: That's great. Can I ask about another investment related to the agreement with the Department of Defense. And that is the hydrochloric acid facility at Mountain Pass. Is that in addition to the chlor-alkali facility? And then should we expect that investment to further reduce your cost of that very critical input of hydrochloric acid to your separation process? And then just drawing that to the final conclusion, I mean, could we see an improvement in the low $40 per kilogram marginal cost assumption that you guys have made for a fully ramped up separation facility?
Ryan S. Corbett: Sure. Lawson, you stuck with me again on that one. I wouldn't say that it necessarily spells a change in our overall cost structure target. I think we actually had a slide in last quarter's earnings deck that had a very strategically shaded area that spoke to potential upside from lower overall production costs from the chlor-alkali facility. The HCL facility that you see in the transaction agreement is the same thing as the chlor-alkali facility to be clear. And from our perspective, we think that this investment is not just one in cost savings but redundancy and resiliency. We believe that we will always have some level of external hydrochloric acid and caustic soda production for our business. We are a very large consumer of both of those products. And so having the flexibility both to pull from the outside market as well as produce internally in a full closed loop, we think is important. We strategically launched our separations facilities by breaking that closed loop and building out the infrastructure and supply chain that's required to support our levels of production and then we believe bringing portions of that HCL facility or chlor- alkali facility online methodically and continuing to support our external supply chain will be the best way forward both from a cost and redundancy perspective.
Operator: Our next question comes from David Deckelbaum from TD Cowen.
David Adam Deckelbaum: I wanted to just follow up on just the -- some of the record set at Mountain Pass this quarter on the concentrate side. Are those initiatives incremental to Upstream 60K? Or are they part of it? I guess I'm just thinking about as we progress the Upstream 60K, it seems like some of the tweaks are perhaps happening sooner than anticipated, but kind of curious if this is viewed as a recovery tweak on top of that just with having a higher grade.
Michael Stuart Rosenthal: Thanks for the question. I'd say these are parts of Upstream 60K. I think Upstream 60K included categories of optimization. And I'd say our metallurgy team and operations teams have done an incredible job of implementing and executing changes. And I think we continue to be impressed that our ore body is able to support higher grade concentrate as we focus on that in order to help the midstream business. So I wouldn't say it's incremental, but we are hopeful that we can achieve the same goals with less capital and more optimization.
David Adam Deckelbaum: Appreciate that. And then just as a follow-up, just on NdPr oxide. You all guided obviously, you'll be stockpiling concentrate at this point. The DoD agreement goes into place in the fourth quarter. From an NdPr oxide production perspective, should we anticipate that you'll continue ramping production throughout the year, but stockpiling the product for sales once the DoD agreement is in place. I guess I'm just wondering the -- as we assess the ramp of the Stage 2 facility, was that going to be more evidential into '26? Or should we be able to track those KPIs throughout the year?
Ryan S. Corbett: David, I'll start and I'll flip some of the production specific portions to Michael. But as it relates to sales, we continue to have a really robust order backlog and sales pipeline for third-party customers for NdPr oxide. And so we're continuing as we ramp production to expect to sell the vast majority of NdPr oxide out into third parties. Of course, as our metal production and magnet production at Independence ramps, we will become a larger internal customer of our own oxide. But we do expect to continue to, for the most part, focus on our strategic customers, particularly in the Japanese market, the South Korean market and broader Southeast Asia. Mike, I'll flip it to you on your thoughts on production.
Michael Stuart Rosenthal: As you referenced, we planned for 10% to 20% increase over the next quarter, and that's largely consistent with the sort of progressive growth that we've seen over the last year and a half, and we would expect that sort of pace to continue, not in a linear basis, but just generally speaking, step-by-step improvement, getting better every day.
Operator: Our next question comes from Laurence Alexander with Jefferies.
Laurence Alexander: Just I want to tease out how you relate the concept about being kind of the branding as a national -- U.S. national champion and the bandwidth and the high degree of visibility on returns, I mean at least over the next decade. So can you tease out first, are you allowed to sell into European or other countries? Can you expand the number of countries you sell product into or just the DoD agreements in anyway restrict that? Secondly, can you tease out or lay out sort of the ramifications for the MOU we saw for the potential project in Saudi Arabia? Do you have the bandwidth to continue exploring that? And then third, I appreciate that there will be announcements just filling in the capacity that the DoD is underwriting. But if you -- but given you have such a strong visibility on the returns on that, what would be your return on capital hurdle to look at any other uses of capital or uses of MP bandwith?
James Henry Litinsky: Thanks, Laurence. Well, first off, there's nothing that restricts us from selling into Europe. Obviously, as part of DoD, we just won't be selling to hostile states. And then as far as you mentioned Saudi Maaden, I think if you look at the vertically integrated player that we've built, I mean we are the only company in the world, and that includes China that has all aspects of this business, which I believe is -- and as we've said from the beginning is sort of the right structure to really scale and be low cost, accelerate at an astonishing pace, so to speak, in doing all of these pieces. And obviously, that relationship speaks to us as being the right partner around the world to add to this supply chain, particularly as America's National Champion. I would tell you that as far as bandwidth and capital certainly from a capital standpoint. And frankly, from a focus standpoint, we are maniacally focused on investing and executing in the United States of America. We need to deliver for GM, Apple and DoD. And so our focus is on delivering on our domestic investments. That said, I do think we're going to continue to grow the business. And so the modern opportunity is very exciting. We're focused on that as well. But I think you'll -- you should expect to see that and others that could come like that as more capital-light opportunities. I think you're going to see our investment focused in the U.S. And then I think you're going to see that and others over time. And obviously, from a return, you mentioned returns from a return on capital standpoint, for MP, I think it's actually an accelerant for our shareholders in the sense that because we have this capability and position, which brings a number of attributes that we're going to be able to continue to grow the business again, in a more capital-light way, but potentially having some of the same economics, which mathematically means higher returns on capital.
Operator: Our next question comes from Carlos De Alba with Morgan Stanley.
Carlos De Alba: A couple of questions. First one is, can you maybe share a little bit of color on what are the milestones that you need to get for Apple to disburse the $200 million in the coming years as you mentioned. And also, any progress on the $1 billion financing that would support the development of the 10X Facility?
Ryan S. Corbett: Carlos, it's Ryan. Obviously, I'm not going to get into specific contract details on our agreement with Apple. I think that what we have made clear is that those disbursements will come on a milestone basis ahead of production. And so we've targeted production for mid-2027. So hopefully, that gives you a pretty tight range of when the cash is going to come in. I think we tend to try to set up our customer relationships, as Jim laid out in a win-win fashion, where we ensure that we are maximizing our cash-on-cash returns while ensuring that our customers see visibility into forward progress on the items that we've promised them. And so we think the structure works quite well for both of us. As it relates to your question on the $1 billion bridge facility, I think I wouldn't overly focus on that facility, particularly because our recent equity raise gets netted against that. A bridge is exactly what it sounds like. It's a temporary solution that's put in place as part of an announcement after an M&A announcement. And so for us, it's really served its purpose. What we expect to do over the next several years is exactly what we've done, frankly, over the last 5-plus years as a public company, which is be extremely thoughtful about our balance sheet, ensure that at this point, frankly, we are well capitalized to execute on the projects that we've laid out. We'll continue to focus on efficiency, both on the expenditure side and the balance sheet side, and we'll be opportunistic as we always are to ensure that we're financing all of this growth in the right way.
James Henry Litinsky: And one thing to just add, Carlos, in the prepared remarks, you may have heard, but if not, Ryan mentioned, we have post the funding and the raise, et cetera. We have approximately $2 billion of cash on our balance sheet right now. So that -- and then as you look out over the coming years, where we have a dramatic step function change upwards in cash flow generation that's contracted over the next decade, we really have a fortress balance sheet to be completely opportunistic in how we manage going forward. So we feel really good about our position.
Carlos De Alba: Yes. No, for sure. And maybe stepping back and thinking more strategically, I would like to understand how scalable will the recycling line or recycling facility that you are building will be. Could this potentially allow you to become much bigger in magnetics without the need of mining feedstock?
Michael Stuart Rosenthal: That's a great question, Carlos. Initially, our build is obviously to satisfy our requirements for Apple. In addition, our own magnetics plans will produce swarf and other byproducts that will have the opportunity to recycle and from that recover and optimize, maximize the heavy rare earth content and ensure we maximize that usage. On top of that, obviously, the 10X Facility will produce its byproducts. From there, we have the opportunity to make -- to build a facility that's modular that can grow with the market, that can recover end-of-life materials and/or third-party feedstocks. And this both extends the life of Mountain Pass and creates opportunity for future growth. But related to previous comments earlier, there's not unlimited capacity or capability. So we would have to balance that in the medium term.
Operator: Our next question comes from Bill Peterson with JPMorgan.
William Chapman Peterson: Congrats on the progress and strong execution in the quarter. Maybe following up that last recycling question. I guess, how do you plan on approaching this internally developed recycling processes, acquiring technology, partnerships with third parties? Maybe what does Apple bring to this recycling -- I guess, the early stages of the recycling program?
Michael Stuart Rosenthal: Thanks for the question. I think as we mentioned in other forum, we've been working on recycling in cooperation with Apple for over 5 years. So we have made a lot of progress. And I think over the next several years, we have other plans to cooperate with our customers and technical partners on further advancing our technical capability, both in recycling and using recycled materials and optimizing magnet properties.
James Henry Litinsky: Did that get your question, Bill, or did you -- you have a second part to that?
William Chapman Peterson: No, no. Sorry, I didn't know if you were continuing the thought. No I do have a second question. In terms of magnet readiness, I guess, for your lead customer, are there any sort of remaining technical areas to address before commercial ramp? Or the -- is the products performing from a technical point of view and I just want to get a sense for how you're tracking to the commercial launch in the coming quarters.
Ryan S. Corbett: Yes. Sure, Bill. It's Ryan. I think we're really pleased with the technical progress. I think we mentioned in some of the prepared remarks and in the deck our consistent execution on producing on spec products for our comers. As you know, EV traction motors or some of the most demanding end use cases for magnets. And we have been consistently producing to spec. And frankly, continuing to optimize from heavy rare earth perspective, made really significant strides, they're actually probably more than I even expected despite having pretty expectations for that team. Really what is left at this point is taking what we've been doing in our new product introduction facility, which, as you saw, is much more than a pilot line. It's sort of a factory within a factory that's allowed us to iterate quickly to be able to generate the types of results that we have and just transferring what we've done there into larger commercial production with any start-up, it is not a straight line. So I will not promise a straight line. But we have a lot of confidence in the team, particularly given what they've demonstrated to date. A lot of the major process area are already either in commissioning or commissioned and seeing those operate, give us further confidence in the underlying assumptions that we've built in both into the business case and operating case. And so the proof will be in the pudding over the next several quarters. But that's what's left is going from trial to commercial.
Operator: Our last question comes from Matt Summerville with D.A. Davidson.
Matt J. Summerville: So I want to get back to some comments you made regarding Stage 1. What's driving the improvement in concentrate grade? And I guess I want to understand how you modulate going after incremental volume versus going after incremental grade? And do you need the incremental grade to get Stage 2 output to where you ultimately hit the nameplate?
Michael Stuart Rosenthal: Thanks, Matt. I guess in a stable environment, there's a trade-off between grade and recovery. Historically, we have tried to hold a stable grade and increase the recovery to increase production volume. In recent quarters, we had seen that we were kind of able to tweak up grade without significant sacrifice of recovery through some of the optimizations, through some of the previous initial stage Upstream 60K projects. And I think we're still harvesting some of those gains. In addition, as we've simplified parts of our circuit, it's enabled us to get grade higher without sacrificing recovery. And I think those opportunities continue. Some of our next initiatives do relate to creating even higher quality, concentrate. And that should have follow-on benefits to the -- primarily the cost structure of the Stage 2 of the midstream operation, but also to the ultimate throughput capability of that. So I don't say it's absolutely necessary at this point. I think we're very comfortable with the ability to ramp the facility with the current concentrate, but incrementally pure concentrate will make that even better.
Matt J. Summerville: So should I -- just as a follow-up, should I take that to mean that you feel you can push the limit of that 6,075 tons of oxide absent major incremental capital investment? Or should I not make that conclusion?
Michael Stuart Rosenthal: I wouldn't connect those two together. So no, I don't -- we don't need any improvement in the concentrate in order to hit that nameplate.
Operator: This concludes the question-and-answer portion of today's call. I will now hand the call back to Mr. Litinsky for closing remarks.
James Henry Litinsky: Hey, everyone. So obviously, this was an extraordinary quarter. We are really proud of what we achieved, obviously, operationally, but in particular, the agreements with DoD and Apple. And clearly, the platform that we have, that we've been building for a number of years has changed for the better dramatically, and we expect to take this new position and keep on reaching to continue to build on the gains that we've had thoughtfully. And so with that, we will get back to work and have a great day, everyone.